Presentation:
Operator: Good morning. My name is Carol, and I will be your operator today. At this time, I would like to welcome everyone to the Home Capital Group Fourth Quarter Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks we will have a question-and-answer session. [Operator Instructions] At this time I would like to turn the call over to Jill MacRae, Head of Investor Relations.
Jill MacRae: Thank you, Carol. Good morning, everybody and thank you for joining us today. We'll begin the call with remarks from Yousry Bissada, President and Chief Executive Officer; followed by a review of our financials from Brad Kotush, Chief Financial Officer. After the presentation, we will have a question-and-answer session for analysts and investors. With us on the call to answer your questions are several members of our management team. Before we begin, I'd like to caution listeners that this conference call may provide management the opportunity to discuss financial performance and conditions of Home Capital, and as such, comments may contain forward-looking information about strategies and expected financial results. Various factors could cause actual results to differ materially from results projected in forward-looking statements. Accordingly, the audience is cautioned against undue reliance on these remarks. Finally, a link to the slides accompanying this live webcast is available on our website at www.homecapital.com. With that, I'll turn it over to Yousry Bissada.
Yousry Bissada: Thank you, and good morning. Thank you for joining us today as we present our financial results for the fourth quarter and full year 2018. 2018 was a year of progress for Home Capital. At the beginning of the year with a new leadership team in place we knew we had some work to do. We got down to business with a view to building for the long-term. We reviewed every area of our operations. We put in place new standards and operating guidelines to implement best practices throughout the organization, while establishing a sustainable risk culture as a foundation for decision making. We were working to rebuild Home Capitals business. The industry experienced [indiscernible] to build Home Capital business, the industry experienced challenges in 2018. The combined impacts of new regulatory initiatives and higher interest rates caused a material reduction in home sales volumes in all our major markets. We responded by investing in relationships with emphasis on becoming a partner of choice for our brokers. We dedicated resources to focus on our renewal business and grew uninsured residential mortgage underwriting, as well as our commercial underwriting. We saw benefits in the form of higher net promoter scores from our broker partners and our customers. People want to do business with us. This translated into significantly improved financial results as well. In Q4 Home Capital delivered increases in earnings per share, book value per share and return on equity both on a sequential and on a year-over-year basis. Once again, we reported sequential growth in origination volumes. This is our fifth consecutive quarter of higher volumes, with meaningful increases in both our residential and commercial books. Our double-digit increase in originations for 2018 is confirmation of our beliefs that strong growth is compatible with our sustainable risk culture. The credit quality of our loan book is still well within our internal risk tolerance, provisions are flat with the prior quarter. More importantly realized losses on the portfolio are very low as percentage of gross loans. Oaken financial continues to grow to provide a strong contribution to our funding. And we have significantly reduced our reliance on demand deposits. Other notable achievements in 2018 include, complete - completed the sale of non-core businesses, paid off our remaining $300 million institutional deposit note, replace our $2 billion credit facility with a $500 million credit facility more in line with our current and forecasted business needs. Return capital to shareholders through a successful $300 million substantially issuer bid and received approval for our normal course issuer bid in 2019. After completing a successful SIB in 2018, we considered several options for deployment of capital. With the stock trading significantly low - below book value, buying back shares at a discount is currently an effective option for generating shareholder value. We will continue our regular review of all options for returning capital to shareholders. We have spoken in past conference calls about our digital strategy. With our management team in place and our sustainable risk culture firmly established throughout the organization, I'm confident that now is the right time to move forward with that investment. Today we are announcing the start of a multi-year plan of technology investment that will improve our operating efficiency, offer our clients more flexibility in how they engage with us and increase the level of service to our brokers, borrowers and depositors. You'll be hearing more of this initiative in the quarters to come. Brads, presentation will give you more details on the expected financial impact of this investment. In conclusion, our results today are evidence of the success of our strategy of building for the long-term, through focus on service and prudent risk management. I'm proud of the efforts of our people and look forward to 2019. I'll now turn it over to Brad to discuss the financial results.
Bradley Kotush: Thank you, Yousry. And good morning, everyone. With our financial results of Q4 2018 on capitals continuing on the path of improvement that we began at the beginning of the year, we recorded growth in income, assets and our direct funding channel focus. We completed a substantial issuer debt returning $300 million of capital to shareholders in a highly accretive transaction and we received approval for a normal course issuer bid in 2019. Turning to Slide 7 of the presentation. Home Capital reported earnings of $35.8 million in the fourth quarter of 2018 or $0.46 per share. This compares to $30.6 million or $0.38 per share in the fourth quarter of 2017. We completed a substantial issue bid at the end of the fourth quarter, so the effect on earnings per share is minimal for that quarter and year. For the full year 2018, net earnings were a $132.6 million or $1.66 per share compared with $7.5 million or $0.10 per share from 2017. Originations as shown on Slide 8 continue to show momentum. Originations increased by 14.4% from Q3 led by a 14.2% increase in our single family residential products. Commercial originations grew 8.2%. For the full year, single family residential originations grew 19.5% with commercial growth at 4.8% and total originations up 15.2%. Slide 10 shows origination growth by loan category. Turning to slide 11. Our net interest margin was 1.99% for the quarter, down slightly from the 2.03% that we reported in Q3. Margins in Q4 were held by higher yields on our mortgage loans, offset by our funding requirements during the quarter. Slide 13 shows the conservatism in our underwriting practices. Our loan-to-value on new originations was around 70% and the loan-to-value of the total portfolio was 59% as of year end. Slide 14 shows our net non-performing loans rose sequentially to 0.47% from the 0 134% of gross loans. This is been our acceptable risk tolerance level. Slide 15 shows provisions for credit losses on an annualized basis for the past eight quarters. Provisions were 10 basis points of gross loans for the quarter and 13 basis points for the year and 5 basis points in 2017. The actual loss experience in the portfolio came in at 6 points on both 2018 and 2017 Turning to the funding side, on Slide 15 you can see our Oaken channel continues to demonstrate positive results. Oaken source deposits grew 30% from year end 2017 to about $2.7 billion. Growing our Oaken channel is key strategic focus for us at Home Capital. Our investments and technology will create more opportunities to improve the client experience. We have diversified our funding mix away from demand deposits to favor fixed-term GICs. Demand deposits were below $500 million at the end of year compared with nearly $1.3 billion in liquid assets shown on slide 17. Management of our liquidity profile is a critical element in our sustainable risk culture. Our demand deposits in 2019 [ph] are well covered by our liquid asset portfolio. In December 2018 we completed our substantial issuer bid to purchase approximately $18.2 million common shares or 22.7% of shares outstanding at $16.50 a share. The transaction was accretive to book value earnings and return on equity. In 2019, we began to repurchase shares under normal course issuer bid. Bonus approved to purchase approximately 4.75 million shares. To date we have purchased 735,050 shares. We are committed to return capital to shareholders in ways that our freedom [ph] and value added. While our shares are trading significantly below book value, repurchases is the most effective option for creating value. Our Board continues to review other options for returning capital to shareholders. After completing the SIB, our common equity Tier 1 was at 18.94% at the end of 2018, down from 23.17% in 2017 still well above regulatory requirements and at the high end of the industry. Finally, I would like to discuss the IT roadmap that Yousry remarked on earlier. As Yousry said, after seeing the results for the past year, the growth we have demonstrated in the success of our sustainable risk culture, we are confident that this is the right time to make investments and position us for success into the future. This project is a multi-year upgrade of our core banking system, along with implementing new digital tools. The investment will rollout over three years with the majority of benefits at the end of full implementation. The investment will take the form of moderately higher than normal system spend, the bulk of which we expect will be capitalized. The impact on a reported financial status in the near-term will arise from accelerated amortization as we retire our various legacy systems. This will be called out as an item of note very important future earnings and the words [ph] give you meaningful metrics on costs and benefits at every stage of the program. The benefits will take the form of reduced operating expense, reduced capital expenditure with the potential for revenue synergies. The benefits to our stakeholders will include better experience for customers, faster introduction of new products, improved productivity and engagement for employees. This initiative will transform many aspects of the way we do business and we are eager to take this next step in the development of Home Capital. With that, I'll turn it back to Yousry for concluding remarks.
Yousry Bissada: While we're pleased with our progress in 2018, we know we still have more to do. We are investing in the future of Home Capital to build on the work we have done to date, developing an industry leading organization, delivering on great customer service and creating long term shareholder value. With that, I'll turn it over to the operator to take your questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from Nick Priebe from BMO Capital Markets. Please go ahead.
Nick Priebe:
Yousry Bissada:
Nick Priebe:
Yousry Bissada:
Nick Priebe:
Yousry Bissada:
Nick Priebe:
Operator: Our next question comes from Geoff Kwan from RBC Capital Markets. Please go ahead.
Geoff Kwan:
Bradley Kotush:
Geoff Kwan:
Yousry Bissada:
Geoff Kwan:
Yousry Bissada:
Geoff Kwan:
Yousry Bissada:
Geoff Kwan:
Yousry Bissada:
Geoff Kwan:
Yousry Bissada:
Geoff Kwan:
Yousry Bissada:
Geoff Kwan:
Yousry Bissada:
Geoff Kwan:
Operator: Our next question comes from Marco Giruleo, CIBC. Please go ahead.
Marco Giruleo:
Yousry Bissada:
Marco Giruleo:
Bradley Kotush:
Marco Giruleo:
Bradley Kotush:
Marco Giruleo:
Bradley Kotush:
Marco Giruleo:
Bradley Kotush:
Marco Giruleo:
Bradley Kotush:
Marco Giruleo:
Bradley Kotush:
Operator: Our next question comes from Graham Ryding from T.D. Securities. Please go ahead.
Graham Ryding:
Bradley Kotush:
Graham Ryding:
Bradley Kotush:
Graham Ryding:
Bradley Kotush:
Graham Ryding:
Bradley Kotush:
Graham Ryding:
Bradley Kotush:
Graham Ryding:
Operator: Our next question comes from Edward Friedman from McLean & Partners. Please go ahead.
Edward Friedman:
Yousry Bissada:
Edward Friedman:
Yousry Bissada:
Edward Friedman:
Yousry Bissada:
Edward Friedman:
Operator: [Operator Instructions] Our next question comes from Jaeme Gloyn from National Bank Financial. Please go ahead.
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Jaeme Gloyn:
Yousry Bissada:
Operator: Our next question comes from front Brenna Phelan from Raymond James. Please go ahead.
Brenna Phelan:
Yousry Bissada:
Brenna Phelan:
Yousry Bissada:
Brenna Phelan:
Yousry Bissada:
Brenna Phelan:
Yousry Bissada:
Benjamin Katchen:
Brenna Phelan:
Benjamin Katchen:
Yousry Bissada:
Brenna Phelan:
Yousry Bissada:
Brenna Phelan:
Yousry Bissada:
Brenna Phelan:
Yousry Bissada:
Brenna Phelan:
Operator: I would now like to turn the call back to Jill MacRae for closing remarks.
Jill MacRae: I just want to say thank you to everybody for joining us. Please contact us if you have any further questions. Looking forward to speaking with you on the Q1 conference call and wish all a good day.
Operator: This concludes today's conference. You may now disconnect.